Operator: Good day, and welcome to the Coeur Mining Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mitch Krebs, Chairman, President and Chief Executive Officer. Please go ahead.
Mitchell J. Krebs: Good morning, everyone, and thanks for joining our call today to discuss our second quarter results. Joining me are Mick Routledge, Aoife McGrath and Tom Whelan, along with other members of the team and we will all be available to answer your questions at the end of the call. Before I kick off, please note our cautionary language regarding forward-looking statements and refer to our SEC filings that are on our website. The second quarter highlights shown on Slide 3 reflect the continuing transformation of core mining into a peer leading precious metals producer with best-in-class silver exposure. The numerous all-time records achieved during the quarter highlight the fundamental step change that is now fully underway. The intersection of higher prices with a mine portfolio hitting its stride led to these impressive results, including free cash flow of $146 million, which led to the repayment of the remaining balance on our revolving credit facility, helped fund initial repurchases under our new share repurchase program and still resulted in a much higher cash balance at quarter end. With our strong first half performance, and with further production increases expected in the second half, we're updating our full year expectations for adjusted EBITDA to over $800 million and for free cash flow to more than $400 million. At these levels, our balance sheet is expected to continue strengthening at a rapid pace with the potential to be in a net cash position at year-end. All 5 operations delivered strong production, cost and financial performance during the second quarter, which Mick and Tom will talk more about in a few minutes. Two key drivers that made the quarter so strong were the continued progress at Rochester and the first full quarter of contribution from Las Chispa. At Las Chispas, the integration has been nearly seamless and is essentially complete at this point. The operation continues to deliver high-grade production at very low costs and positions Coeur as a flagship global silver producer with a peer-leading growth profile. What's more, a reoriented drilling program at Las Chispas is delivering exciting exploration results which Aoife will talk more about. At Rochester, which is America's largest source of domestically produced and refined silver, another sizable jump in crushed tons in the second quarter is leading to expectations for a strong second half and for Rochester to achieve its full year guidance. Mick will provide some additional details on Rochester's progress shortly. On the topic of guidance, we've also reaffirmed our overall company- wide 2025 production and cost guidance ranges based on what is expected to be an even stronger second half of production growth, higher margins and strong cash flow. Those full year 2025 gold and silver production levels summarized on Slide 4, represent year- over-year expected increases of 20% and 62%, respectively. With that, I'll turn the call over to Mick.
Michael Routledge: Thanks, Mitch. Consolidated gold and silver production increased 25% and 27%, respectively, compared to the last quarter, totaling 108,000 ounces of gold and 4.7 million ounces of silver. Total adjusted CAS per ounce for gold and silver decreased by 5% and 6%, respectively, compared to last quarter to $1,260 per ounce, for gold and $13.41 per ounce for silver. Now let's take a look at the individual site contributions to this solid performance. Beginning with Las Chispas, the team continues to deliver great results with silver production reaching nearly 1.5 million ounces and gold production adding 16,000 ounces, both running ahead of annual guided levels. As Mitch mentioned, the team continues to thrive as part of Coeur's organization with numerous great examples of cross- pollinating ideas and best practices. Staying in Mexico and turning to Palmarejo, the mine generated an especially strong $42 million of free cash flow, driven by gold and silver production increases of 18% and 6%, respectively, compared to the first quarter. The new Hidalgo access portal continues to enhance overall mining flexibility and efficiency, and it's opening up new zones within the Independencia deposit. Total tonnes milled at Palmarejo achieved their highest quarterly levels in over a year, tremendous results from the team. Turning to Nevada. The good news continued at Rochester, where positive trends in each phase of the operation sustained our momentum in the second quarter. Production of silver and gold increased by 13% and 7%, respectively, compared to the prior quarter and by 50% and 79%, respectively, compared to last year's second quarter. The team did a great job driving up crushed tons by 24% compared to the previous quarter to 6.7 million tons. This additional crushed ore continues to displace direct-to-pad material, which fell to 1.1 million tons of the total 7.9 million tons placed during the quarter. Looking ahead, we anticipate more progress in driving crushed tons in the second half of the year, while our focus on average particle size distribution and recoveries continues with several successful modifications we made to the crusher corridor during a scheduled down period late last month. Moving to Kensington. The higher gold price, a 17% quarter-over-quarter production increase and a 9% quarter-over-quarter decline in CAS per ounce combined to generate $20 million of free cash flow for the quarter. With the multiyear capital investment program in underground mine development now wrapped up, the external contractor force was demobilized from site by June 1. The team also made good progress towards completing a new raise bore project that will contribute further to the efficiency improvements already in place at this revitalized operation. Kensington remains well positioned at the halfway mark to deliver sustained free cash flow with greater operating flexibility. Finishing up with Wharf, strong gold grade under leach led to a great second quarter. Quarterly gold production increased by 18% to over 24,000 ounces, marking the mine's second highest production level in 2 years and leading to free cash flow of $38 million. While we anticipate some grade moderation over the months ahead, Wharf is teed up for another strong year. With that, I'll pass the call over to Aoife.
Aoife Mairead McGrath: Thanks, Mick. Exploration continued at pace in the second quarter with up to 27 rigs drilling across the portfolio. The team at Las Chispas has been extremely busy with up to 8 rigs drilling on that property. As you can see on Slide 13, the key areas of focus are expansion and infill drilling on the Babicanora Block with the objectives of extending and infilling extensions to the known veins adjacent to existing operations. In addition, we are undertaking a significant expansion drill program on the Las Chispas Block and in the GAP Zone between there and Babicanora. The Augusta vein discovered earlier this year continues to grow and continues to return multi-kilo intercepts. Geologic understanding of this part of the land package is growing rapidly, and this is assisting with even more effective exploration targeting. A new underground ramp to this zone will greatly enhance drill access in the second half of 2025. At Palmarejo, where 7 rigs were active, Slide 14 highlights the large number of targets that are being drilled with a focus on the Hidalgo corridor, which is the northwestern continuation of the mine trend. Excellent results have been achieved here with the trend extended by 350 meters along strike year-to-date. In addition, drilling on the recently consolidated Independencia sewer block is progressing well with the southeastward extensions of the Nación, Bruno and Independencia veins being tested and previous drilling by Fresnillo being validated. Many results are pending, but visual inspection of the core indicates continuation of known veins. At San Miguel, located further to the east in the Guazapares trend, drilling to validate historic resources commenced late in the quarter and is off to a very good start with visual results to date that are highly encouraging. We expect that these 3 programs will add meaningfully to Palmarejo's year-end resource calculations. At Kensington, 4 rigs were active and the drilling pace has exceeded expectations with the programmed meters being achieved ahead of schedule and under budget. Excellent results have been obtained from all expansion and infill zones in both Upper and Lower Kensington from infill at Elmira in the recently discovered Elmira hanging wall zone and at the Johnson target. We're confident that these results will continue to support a consistent life of mine. At Wharf, as shown on Slide 15, up to 2 rigs completed all expansion drilling at Juno, Foley under wedge. The focus is turning to infill drilling northwest of Juno, where expansion drilling in 2024 showed mineralization continuing for an additional 500 feet. Results received to date indicate that these programs are on target to add meaningfully to Wharf's life of mine. At Silvertip, exploration programs kicked off with 4 rigs active on the project during the quarter. In addition, final preparations were made for a busy summer program that got underway just at quarter end. We look forward to providing updates in the coming quarters. I'll now turn the call over to Tom.
Thomas S. Whelan: Thanks, Aoife. As highlighted on Slide 8, our strong 2Q financial results paint the clearest picture yet of Coeur's ultimate potential with the inclusion of a full quarter of Las Chispas in our earnings results. A 15% and 5% increase in gold and silver prices, respectively, combined with 20% higher sales volumes led to an adjusted EBITDA margin of 51%, which is more than double our margin this time last year. Slide 12 provides some color on the easing inflationary pressures on our key operating costs. Despite an 8% appreciation in the Mexican peso this quarter, we have been able to protect and expand margins due to our strong cost controls and the lack of any meaningful tariff impact on our business to date. It was great to have Rochester and Kensington join the free cash flow party this quarter. In fact, all 5 mines delivered meaningful free cash flow for the company, which led us to achieve several quarterly record numbers, including $146 million of free cash flow, $244 million of adjusted EBITDA and $127 million of adjusted net income or $0.20 per share. Briefly touching on the balance sheet on Slide 11. We are proud to announce we have fully repaid the $110 million balance that had remained on our revolving credit facility by quarter end, which was 1 quarter ahead of schedule. Our total debt, including $90 million of capital leases, is now below $400 million, which is nearly a $250 million decrease from this time last year. Cash and cash equivalents increased 44% versus Q1 to $112 million. Incredibly, our long-term target of achieving a net debt-to-EBITDA ratio of 0 is now within sight, which led to our confidence to announce and initiate our return of capital strategy this quarter with the $75 million buyback program that Mitch mentioned. It is all coming together nicely just at the right time. Based on our reconfirmed guidance and our updated forecast pricing of $3,200 and $32 for gold and silver, respectively, we expect to generate second half free cash flow of between $250 million to $300 million. Coeur remains ideally positioned to deliver sector-leading returns to our shareholders and pursue the full suite of high-return organic growth projects in our pipeline. Note 3 of the interim financial statements in the 10-Q provides the details of our preliminary purchase price allocation of SilverCrest. I wanted to provide an important update on 3 accounting nuances we highlighted during the Q1 earnings call, which impact EPS, but do not impact free cash flow. First of all, the inventory acquired in the 150,000 ton stockpile at Las Chispas was recorded at fair value, which has led to higher reported cost applicable to sales as we monetize the inventory from the stockpile. Through the end of Q2, we have processed 2/3 of the acquired stockpile material, so this accounting nuance should come to a close early in the fourth quarter. Secondly, with just over $1 billion of the $1.5 billion purchase price paid for SilverCrest allocated to the property, plant and equipment and mining properties balances at Las Chispas, higher amortization expense is being recorded as expected. And third, the $336 million deferred tax liability, which arose from the purchase price accounting allocation exercise is subject to foreign exchange fluctuations in accordance with U.S. GAAP. With an 8% appreciation of the peso during the quarter, the tax line included a noncash $28 million provision, which we have highlighted in the adjusted net income reconciliation. With that, I will now pass the call back to Mitch.
Mitchell J. Krebs: Thanks, Tom. Before moving to the Q&A, I want to quickly highlight Slide 16 that summarizes our top priorities for the second half of the year. Sitting at midyear, I'm proud of the progress we've made on each of these fronts, but there's still work to be done to unlock the compelling upside potential that remains embedded in our company. With that, let's go ahead and open it up for questions.
Operator: [Operator Instructions] The first question is from Joseph Reagor with ROTH Capital Partners.
Joseph George Reagor: Congrats on a great quarter.
Mitchell J. Krebs: Yes, Joe, thanks.
Joseph George Reagor: Yes. So I guess first thing, just talking about the upside of the company, Silvertip, given what the silver market is today, is there any opportunity to accelerate that into a development project? And then if you did, what would the time line look like to bring that into production? Or is it just not something you guys are ready to do yet?
Mitchell J. Krebs: Yes. Good question. I think in the first quarter call, we talked about this sort of 5-year time frame to get Silvertip to a go/no-go decision. And maybe there are some opportunities to shave a little bit of time off of that, especially with some of Canada's support for critical minerals projects, expedited permitting, things like that. That said, we want to make sure that we don't cut any corners that we do it right. That's going to require us to go through the typical project stage gates. We did kick off an initial assessment last month. So that's sort of step one, and we'll keep progressing through those milestones. There's still drilling to be done, and there's permitting to be done. So maybe that 5-year time frame could be moved in a little bit, but I still think it's out there a few more years for sure, which gives us a nice clean runway here still to generate good strong free cash flow and stay focused on everything that we have out ahead of us. Does that help answer the question?
Joseph George Reagor: Yes. No, that's helpful. And then following on that, Silvertip is obviously one of the big things in the portfolio. But beyond that, what do you see as the biggest items that you guys can focus on to drive production growth between now and then?
Mitchell J. Krebs: Yes. It really goes to the brownfield exploration potential that we have around our existing sites. And it's not just 1 or 2. It's really across the collection of assets. We've -- over the last decade, we've methodically added to our land positions around each of our assets. We've more than tripled our land position. These are prospective deposits. I go through the list, many of them we talked about today, but Wharf has great opportunity. Palmarejo, especially off to the east, has immense opportunity. We've started to realize some of the potential at Kensington, and there's more there to do. And then with the addition of Las Chispas earlier this year, there's a lot of potential there to target with increased levels of exploration. So even with this year, I think our guidance range, midpoint of our exploration guidance range is around $85 million. To the extent that we can accelerate some of that next year and beyond to try and capture some of those opportunities around existing operations, obviously, high return, low-risk organic growth there. That's a -- that's what comes to my mind first. Is there anything guys that I left off there that you'd want to add?
Michael Routledge: We will continue to optimize Rochester, of course, and drive that performance. So there's more growth plan to come from Rochester. But overall, it's incremental improvements around operations and performance across the portfolio.
Joseph George Reagor: Okay. Well, again, congrats on a good quarter. I'll turn it over.
Mitchell J. Krebs: Thanks, Joe.
Operator: [Operator Instructions] The next question comes from Brian MacArthur with Raymond James.
Brian MacArthur: I suspect this is for Tom. But I'm just -- on the free cash flow basis, I'm just trying to figure out the taxes because I thought in the U.S., you kind of have a lot of NOLs. But when I look at it this quarter, like the deferred taxes are a negative. Now you mentioned you've got this true-up and everything else. But what I'm really just trying to figure out is how I should think about this going forward, whether anything has changed or whether I could still continue to just tax Mexico at the standard rate to the U.S. at 0. I'm just not sort of seeing it in the financials the way I thought I might.
Thomas S. Whelan: Yes.
Mitchell J. Krebs: Tom, go ahead.
Thomas S. Whelan: Yes. Thanks. Well, you're thinking about it the right way in terms of cash taxes. Mexico will continue to pay quarterly installments as well as that big onetime true-up at quarter end or in the first quarter along with the EBITDA tax. But interestingly enough, we had, as we talked about in the 10-K, $630 million of net operating losses, and we're actually starting to chew through those pretty aggressively. But for the time being, best to just keep a 0 tax rate in the U.S. and the Mexican taxes. And they're a bit lumpy in that first quarter as we -- you true up for the year as well as pay the EBITDA tax. So -- and I'd have to maybe find a way to point to the taxes paid in the 10-Q. Maybe we'll work with you offline on that one, Brian, just to help you refine your estimation process.
Brian MacArthur: No, that would be great, Tom. I wasn't trying to be difficult. I was actually just trying to figure out I thought there might be a little more cash flow there in the quarter. So that's great. And I just wanted to make sure nothing major had changed going forward. So that's great. That's helpful.
Mitchell J. Krebs: Thanks, Brian.
Operator: The next question is from Alex Terentiew with National Bank.
Alexander Terentiew: Congratulations again on another good quarter.
Mitchell J. Krebs: Alex, thanks.
Alexander Terentiew: Two questions for you. One on the NCIB and other on Las Chispas. On the NCIB, I'm just wondering, are you -- is this kind of discretionary how you're approaching it? Or do you have a program underway? I'm just trying to get a sense of how aggressive you may be on executing this given your strong free cash flow and discussions on growth we've had in the past -- over the past call here. And just wondering even if there's a chance to increase that. So that's the first one. And then just on Las Chispas, exploration, obviously hitting some really nice intercepts. Mine life looks to be kind of set to grow there. I don't know, I mean, maybe just remind me or refresh my memory, what's the potential of that mine to increase -- or put another way, maybe what's the constraints on production growth there right now?
Mitchell J. Krebs: Yes. Okay. Great. Good -- two good questions, Alex. I'll start with the buyback and then maybe Aoife, Mick, you can weigh in on the Las Chispas. So in the U.S. context, Alex, that buyback program, we don't really refer to them as NCIBs here in the U.S., but there is a discretionary component to how we're approaching it and then a nondiscretionary. So when we're in blackout periods, which is about half the trading days of a year, we put in place a 10b5-1 plan with some parameters so that there can be some repurchase activity during those periods when we're blacked out. And then when we're not blacked out, we can pursue nondiscretionary -- or sorry, discretionary purchases during those windows. And so with the way we -- the timing worked out this time, we got the -- through the Board process, we announced it in May. We -- by the time we got everything in place, we wanted to get some repurchases done before we went into blackout. There weren't any repurchases done during this recent blackout period. But now as we come out of that here on the back of second quarter results, we look to step up our repurchase activity. We didn't put this program in place to not use it, use it up. And so we will get about that here now post second quarter results. And hopefully, we'll see more activity during the next blackout than we did during this current one. So hopefully, that helps answer the buyback question. On Las Chicas, yes, I'll let Aoife talk a little bit about exploration. They can talk about mining and processing potential. But as far as the game plan there really was to come in here in year 1, continue with the consistent performance that Las Chispas has delivered in its first 2 years of operation. And with that, hopefully, we can replace what we mine this year here in 2025 and kind of maintain that 6- or so year mine life that we inherited when we closed on that transaction. I think with the results that we're delivering so far from exploration, we're feeling good about that goal here in 2025. Looking out a little bit further, Aoife, do you want to just talk about where the focus is going to be kind of in mine and near mine and the existing blocks? And then Mick, maybe you can talk just from a mining and processing standpoint, what opportunities might exist there. Go ahead.
Aoife Mairead McGrath: Yes. It's a good question, Alex. So we're -- if you look at Slide 13, we're really busy on 2 main blocks at the moment on the Babicanora Block. And really what that's doing is sort of like a exploration by numbers we're stepping out from existing veins and then infilling so we can continue to mine that through existing and just extended infrastructure. And the results from there are typical from the Babicanora Block. It's a very high-grade block. And when we drill there, we had new veins in holes it's just the type of system it is. So we're very, very happy with the results we're getting down there. We're doing -- we focused also a lot on the Las Chispas Block. That hasn't seen as much work historically, but we are starting to see some higher grades there and in the GAP Zone between that block and the Babicanora Block which are actually highly encouraging because there's a slight change in the geology, but we're seeing really, really rich mineralization continued through there. So we're increasingly optimistic about those blocks. So all good news on the exploration front.
Mitchell J. Krebs: So when I said in my comments about a reoriented drill program, what we really did is pull in some of the regional exploration that SilverCrest had targeted for 2025, and we're really focused in the mine, Babicanora is obviously the most drilled area, but going up there to Las Chispas Block and then in between, Las Chispas and Babicanora has given us some more runway here that we're excited about.
Aoife Mairead McGrath: Yes. The focus is to really get to grips with these main assets in 2025 and then consider the regional in the future.
Mitchell J. Krebs: And then Mick, from a mining processing.
Michael Routledge: Yes. From an operational perspective, really, with it being a thin vein underground mine, having that 6 years of main life visibility in front of us is really more than adequate as long as we can then continue, as Aoife said, to try and maintain that and cover the depletion. From an operational perspective, we're seeing a lot of flexibility, plenty of capacity in the processing plant which gives us some potential upside opportunities if we continue to find the capacity underground. And we have a good-sized stockpile that gives us a nice operational flexibility to maintain performance. And as we said in the dialogue, we're slightly ahead of our expected performance there for this year, and we expect to continue that for the rest of the year.
Mitchell J. Krebs: Does that get to what you need there, Alex?
Alexander Terentiew: Yes. No, that's excellent.
Mitchell J. Krebs: Okay, great. Yes, thanks.
Operator: At this time, there are no further questions, which concludes our question-and-answer session. I would like to turn the conference back over to Mitch Krebs for any closing remarks.
Mitchell J. Krebs: Yes. Thanks, everybody. Before I wrap up, I just want to say thanks to the team that's here with me in the room and throughout the company for executing such a terrific quarter and really getting the company to where we are today. It's been a lot of years of a lot of heavy lifting and a lot of great work by a lot of people. So I just want to make sure and extend my gratitude for that. And we appreciate everyone's time here on the call today during a day that's got a lot of companies reporting. So thank you for joining. We look forward to discussing our third quarter results with you in early November. Until then, enjoy the rest of your summer. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.